Operator: Good afternoon. This is the Chorus Call conference operator. Welcome, and thank you for joining the Stevanato Group First Quarter 2025 Results Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to Ms. Lisa Miles, Senior Vice President, Investor Relations. Please go ahead, madam.
Lisa Miles : Good morning, and thank you for joining us. With me today are Franco Stevanato, Chief Executive Officer; and Marco Dal Lago, Chief Financial Officer. A presentation to accompany today's results is available on the Investor Relations page of our website under the Financial Results tab. As a reminder, some statements being made today are forward-looking and based on current expectations. Actual results may differ materially due to risks outlined in Item 3D, Risk Factors of our most recent annual report on Form 20-F filed with the SEC. Please review the safe harbor statement included at the beginning of today's presentation and in our press release. The company undertakes no obligation to revise or update these forward-looking statements, except as required by law. Today's presentation may include non-GAAP financial information. Management uses these measures internally to assess performance and believe they may be helpful for investors in evaluating the quality of our financial results, identifying trends in our performance and providing meaningful period-to-period comparisons. For a reconciliation of these non-GAAP measures, please refer to the company's most recent earnings press release. And with that, I'll hand the call over to Franco Stevanato for his opening remarks.
Franco Stevanato: Thank you, Lisa, and thanks for joining us. Today, we'll review our first quarter performance, share an update on our investment projects and discuss the current environment. We started fiscal 2025 with strong momentum in the first quarter, highlighted by 9% revenue growth and a step-up in gross profit margin compared to last year. Our first quarter financial results exceeded our expectations, driven by strong operational delivery in the Biopharmaceutical and Diagnostics Solutions Segment. This helped offset the anticipated soft performance in the Engineering Segment, as we continue to execute our business optimization plan. The solid performance in the BDS Segment was driven by the expected improvements at our Latina and Fishers facilities, as our capacity expansion projects started to scale volumes and revenue, and a favorable mix of high-value solutions including a modest recovery in EZ-fill vials. Revenue from high-value solutions accounted for 43% of the total revenue in the first quarter of 2025, as we continue to expand capacity for high-value syringes to meet robust demand. We also see ongoing signs of stabilization in vial demand as the effects of destocking gradually subside. As anticipated, the revenue and margin decline in the Engineering Segment were primarily related to the legacy projects in Denmark. This unfavorably impacted the portfolio mix in the first quarter. As part of our optimization plan, we prioritized the execution of these projects and have made significant operational progress. We remain on track to complete all of them in 2025 with the majority expected to be completed midyear. While these improvements may not be fully reflected in our financial results, they led to meaningful gains across key operational performance indicators. This reinforces our confidence that we are on the right path. For example, in the first quarter, acceptance testing rates continue to improve for both final factory acceptance and site acceptance testing. This reflects the tangible progress we are making in bringing these projects to completion and strengthening the segment's operational delivery. Looking ahead, we see strong demand for our Engineering manufacturing lines, where long-term growth is underpinned by favorable secular trends. For example, rising patient adoption of drug delivery devices is fueling demand for complex device assembly and packaging lines. We are supporting a new wave of customers as they rapidly expand their device programs, helping customers deliver therapies and treatments to patients safely and efficiently. Let's turn to an update on our capital investment projects in Fishers and Latina. In the first quarter, we saw continued financial improvement in margins from our expansion projects as we begin to scale volumes, utilization and revenue. Both facilities, we are ramping up syringes to satisfy strong market demand. Our hub in Fishers brings together our drug containment solutions and device manufacturing capabilities to offer customers an integrated offering with localized production in the U.S. I recently returned from Fishers, where activities are in the high gear. Today, we are in the early phases of scaling commercial syringe production. In parallel, we are on track with ongoing installations of additional manufacturing line. We have a full schedule of customer validation and audit activities booked for the second quarter as more capacity comes online. We also started construction on our device manufacturing area to support customer device programs for biologic treatments. As a reminder, we keep a selective and strategic approach to contract manufacturing, and these projects integrate our glass products and most of the time, our Engineering technology for assembly. This demonstrates the value customers see in our diversified and complementary portfolio of integrated solutions. In Latina, we are scaling commercial production for high-value syringes and manufacturing line installations are ongoing. Customer validation activities will continue into 2026 as planned. We are also preparing for the next phase of ready-to-use cartridges production with commercial production still expected to launch at the end of 2026. Before I hand the call over to Marco, I'd like to briefly share some thoughts on global trade and tariffs. We have a task force that's practically working to mitigate the potential exposure to tariffs through a combination of actions, including customer surcharges, supply chain, procurement and other initiatives. Based on recent discussions with customers, alongside thorough analysis and the broader industry commentary, we expect that most of the tariff-related cost will be absorbed by customers. As a reminder, we experienced a similar situation when gas prices spiked a few years ago. These cost increases were passed through. That said, we are continuing to leverage our global manufacturing network to support localized production. As we ramp up operation in Fishers, this will further support our customers with a robust in market supply chain as more pharma and biotech companies increase their manufacturing footprints in the U.S. We do not expect that tariffs will affect our competitive positioning. On the contrary, we believe our ongoing investment in U.S. will further reinforce our position in this important market. With that, I'll turn the call over to Marco.
Marco Dal Lago: Thanks, Franco. Before I begin, I'd like to clarify that all comparisons refer to the first quarter of 2024, unless otherwise specified. Let's start on Page 9. In the first quarter of 2025, revenue increased by 9% or 8% on a constant currency basis to EUR 256.6 million. This was driven by 11% growth in the BDS segment, which offset a 4% revenue decline in the Engineering segment. Revenue from high-value solutions grew 25% in the first quarter to EUR 110.3 million and accounted for 43% of total revenue. This was driven by continued strong demand in high-value syringes, increasing capacity in Latin and Fishers and the partial recovery in EZ-fill vials as destocking subsides. The strong performance in the BDS segment led to an 80 basis point increase in consolidated gross profit margin of 27.2% in the first quarter of 2025. This was driven by the expected improvements at our Latin and Fishers facilities as we scale our multiyear investment plan, including device contract manufacturing activities in Fishers. While the two sites remain margin dilutive, we are gaining operating leverage as we scale volumes, utilization and revenue. Second, a higher mix of more accretive high-value solutions, including a modest improvement in EZ-fill vials. These favorable trends were offset by the expected lower gross profit from the Engineering segment. In the first quarter of 2025, operating profit margin increased 280 basis points to 13.5%. And on an adjusted basis, operating profit margin was 14.3%. This was driven by an increase in gross profit and continued benefits from the initiative launched last year to curtail costs without compromising future growth. For the first quarter of 2025, net profit totaled EUR 26.5 million and diluted earnings per share were EUR 0.10. On an adjusted basis, net profit was EUR 28.1 million and adjusted diluted EPS were also EUR 0.10. Adjusted EBITDA was EUR 57.4 million and adjusted EBITDA margin increased 100 basis points to 22.4%. Moving to segment results on Page 10. In the first quarter of 2025, revenue from the BDS segment increased 11% to EUR 220.8 million on both a reported and constant currency basis, driven by strong growth in high-value syringes and to a lesser extent, other product categories. During the quarter, we also saw continued stabilization in vial demand as the effects of destocking began to gradually ease. High-value solutions grew 25% to EUR 110.3 million, representing approximately 50% of segment revenue. Revenue from other containment delivery solutions totaled EUR 110.5 million, which was consistent with the same period last year. In the first quarter of 2025, gross profit margin increased 420 basis points to 31.3%. Margin expansion was driven by the improvements in Latina and Fishers as we scale operations. This includes activities related to our contract manufacturing projects in Fishers and the higher mix of more accretive high-value solutions, including modest growth in EZ-fill vials. As a result, the operating profit margin for the BDS segment rose to 18.8% up from 14.1% in the same period last year. In the first quarter of 2025, revenue from the Engineering segment decreased 4% to EUR 35.7 million, primarily due to lower sales from pharmaceutical visual inspection and glass conversion lines. This was partially offset by growth in assembly and packaging lines as well as aftersales activities. Gross profit margins were slightly below our expectations by approximately 50 basis points and decreased to 10.7%. For the first quarter, margins were unfavorably impacted by project mix as we prioritize the completion of the legacy projects in Denmark. As a result, operating profit margin declined to 4.7%. Please turn to the next slide for a review of balance sheet and cash flow. We ended the quarter with cash and cash equivalents of EUR 90.7 million and net debt of EUR 300.2 million. We believe we have adequate liquidity to fund our strategic priorities through a combination of cash on hand, available credit lines, cash generated from operations and the ability to access additional financing. For the first quarter of 2025, capital expenditures totaled EUR 69.7 million, with more than 90% tied to growth investments to advance our ongoing capacity expansion for high-value solutions in Fishers and Latina. We continue to carefully manage trade working capital to support the growth of our business. In the first quarter, we benefited from strong collection of receivables, which drove cash generation. As expected, our inventory levels increased in the first quarter as we replenish inventories that fell in the fourth quarter, driven by strong sales. In the first quarter of 2025, net cash from operating activities increased to EUR 99.8 million. Cash used in the purchase of property, plant and equipment and intangible assets was EUR 71.8 million. As a result, we generated free cash flow of EUR 29.7 million in the first quarter of 2025. Please turn to the next slide for an update of our assessment of tariffs and our revised guidance. As Franco noted, our task force analyzed both regional sales and our network of global suppliers. These efforts are ongoing as the situation evolves, and the team is closely monitoring any further developments. Our current guidance assumes a 10% tariff rate for goods shipping from the EU to the U.S., the absorption of price increases from suppliers and no change in the U.S. policy. Based on these assumptions, we estimate a tariff-related impact of approximately EUR 4.5 million to operating profit or approximately EUR 0.01 of diluted earnings per share in 2025. It is important to note that this is based on what we know today, we have implemented mitigation strategies in an effort to further reduce our exposure, and this effort will continue. Discussions with customers have been constructive and are ongoing. Aside from the expected impact from tariffs, all other elements of our guidance remain fully on track with what we shared in March. As a result, we continue to expect revenue in the range of EUR 1.160 billion to EUR 1.190 billion, and we now expect adjusted EBITDA between EUR 288.5 million and EUR 301.8 million and adjusted diluted EPS between EUR 0.50 to EUR 0.54. Our updated guidance assumes the following factors: Revenue will be stronger in the second half of fiscal 2025 versus the first half. The BDS segment is still expected to grow mid-single digit to high single digits and the Engineering segment is expected to be neutral to low single-digit growth. High-value solutions of 39% to 41% of total revenue. On foreign currency, we now assume a modest headwind that has been fully absorbed in the model. Our hedging strategies have limited our exposure, and we assumed a euro-dollar average rate of 1.13 for the period from April to December. With the inclusion of tariffs, we now assume a gross profit margin improvement of approximately 100 basis points at the central point of our guidance. And lastly, the favorable impact from tariffs of EUR 4.5 million of operating profit or approximately EUR 0.01 of diluted earnings per share. Thank you. I will hand the call back to Franco.
Franco Stevanato: Thank you, Marco. In closing, we had a solid start to fiscal 2025 with strong momentum in the BDS segment as we advance progress at our Latina and Fisher sites and increase our mix of high-value solutions. We are also encouraged by the continued stabilization in the via market demand as destocking phase. The team remains laser-focused on executing against our key priorities and delivering our long-term objectives. Ongoing capacity expansion in high-value solutions is critical to meeting elevated end market demand, driven primarily by the rise in biologics. We operate in growing markets and our capital investments are aligned with demand-driven needs. We continue to see a robust pipeline of long-term opportunities supported by favorable secular tailwinds from aging population with increasingly complex health needs to pharma innovation and the shift towards self-administration of medicines. These trends align closely with our core strengths. We remain committed to meeting strong customer demand for our high-value solutions. Longer term, we believe the ongoing shift toward these solutions will support a return to our target of low double-digit revenue growth and drive margin expansion. Our strong business fundamentals and disciplined financial strategy provide us with the flexibility to fund our growth and create long-term value for shareholders. Operator, we are ready for questions. Thank you.
Operator: [Operator Instructions] The first question is from Matt Larew, William Blair.
Matt Larew : The first one would just be a follow-up on tariffs. I just want to clarify that what is incorporated in guidance is the gross impact from tariffs and that the number of mitigations you're pursuing are not included in guidance and thus, in theory, are upside. And that's kind of the first part of it. The second part of the tariff question is, can you help us understand what percentage of U.S. demand is serviced by U.S.-based manufacturing today? And how much of that U.S. demand you'll be able to satisfy from Fishers perhaps both by the end of this year and then over the long term?
Marco Dal Lago: Thanks for the question, Marco speaking. As Franco noted, we have been working with the task force internally for a couple of months. This includes salespeople, procurement people, legal, finance and supply chain. We play different scenario, obviously. Our guidance is embedding tariffs to our customers, also impact on supply chain and procurement, and it's including finished product, raw material and semi-finished products. We are planning to transfer in higher price to most of the customer, the impact. Nevertheless, we see some impact in supply chain, either in production or in procurement, in purchasing. And so this is the estimation about the EUR 4.5 million operating profit level we mentioned in the remarks. basically, we are playing different scenarios. We believe this is the current best estimation we can provide while we are working on further mitigation actions in order to minimize the impact. About your question about the U.S. footprint, we want to remind, we have also a factory in California in Ontario. So the combination of Ontario and Fishers are partially offsetting the impact already. And as you know, with the ramp-up of Fisher, we estimate that we will further mitigate in the future.
Franco Stevanato: Correct. And Fisher in 2025 is going to partially absorb this tariff impact because the focus on 2025 of Fishers is to ramp up capacity with our customer in order to execute the actual contract that we have. But we are still in the phase that we are installing high-speed line, in particular for syringes. In the medium term, Fisher will be a nice tool for Stevanato Group in order to compensate this tariff.
Matt Larew : Okay. Very good. And then just a follow-up on vials. It sounds like destocking there progressing, I think, as anticipated. You've given an outlook for mid- to high single-digit growth in vials for the year. Based on what you saw in the quarter and I assume increasing visibility, is that still kind of the outlook for the year?
Franco Stevanato: Correct. We continue to see positive signal in the market, practically all our customers, both the regional customers or spread in all the regions, in particular, the global key account, they are starting to increase their order. If you compare 2024 with 2025, our order intake is growing double digit, both for bulk vial and ready-to-fill vial. And in fact, we are starting to activate the vial lines practically in all our plants worldwide. So from our viewpoint, this recovery is really moving in the right direction for all the 2025 in order to go to a normalization in 2026. So we are happy for this.
Marco Dal Lago: And we are reiterating our guidance with respect to vials. So we expect mid-single-digit to high single-digit growth in 2025 compared to 2024 with sequential improvement throughout the year.
Operator: Next question is from Paul Knight, KeyBanc.
Paul Knight : Congratulations on the quarter. The -- ultimately, Indianapolis and Latina, what's the revenue potential going to be from those sites, whether it's 5 years from now, 3 years, I'm assuming it's just starting early days of revenue now, but what's the potential of those two sites?
Franco Stevanato: So Paul, Franco speaking, today, one of the major contributor of our growth in 2025 is thanks to the greenfield plants in Latina and particularly also on Fishers. We always share with you that in Fishers, we have planned to invest EUR 0.5 billion to be fully ramped up by the end of 2028. Our goal is to generate EUR 0.5 billion revenue, thanks to this investment that we are doing in Fisher. We always want to remind you that our ratio is for high-value product, EUR 1 CapEx has to correspond to EUR 1 revenue.
Paul Knight : And are you -- how do you feel about Latina?
Franco Stevanato: Latina is really -- progressing extremely well. because like I mentioned to you, last year, we already delivered in the quarter a positive gross margin. In 2025, we are continuing to increase commercial production, increasing the capacity for prefilled syringes, in particular, for Nexa syringes. We're continuing to install high-speed line. And also, we are intense program of validation for our international customer. On the top of this, we already -- we are starting to prepare a next phase for the large capacity for cartridges ready to fill with one big customer that will be launched at the end of 2026, beginning of '27 in commercial production revenue.
Paul Knight : And Marco, what will CapEx be in 2025?
Marco Dal Lago: We are not modifying our guidance. We have net of contribution from customers from EUR 250 million to EUR 280 million CapEx in 2025, mainly dedicated, as you can imagine, to the ramp-up in Latina and Fishers.
Operator: Next question is from Michael Ryskin, Bank of America.
Michael Ryskin : Maybe I'll tie up a couple of previous ones. On the tariff front, your comments in terms of the hit this year, the EUR 4.5 million operating profit, EUR 0.01 of EPS, that's for the partial year. Any early signs of how to think about that for 2026? And I guess what I'm saying is you'll have a full year of impact, but you also have more revenue shifted to Fishers over time, right? So when should you be able to fully offset the tariff hit?
Marco Dal Lago: Yes. I think you fully got the point, Marco speaking. First of all, we are assuming our guidance this year based on the current situation of tariffs with 10% current tariff from EU to the U.S. there are different scenarios in front of us we respect that. Nevertheless, the #1 mitigating factor will be the ramp-up in Fishers. We are generating currently about 25% of our revenue in the U.S. But we expect with Fishers and Ontario to mitigate a lot in the future.
Michael Ryskin : Okay. Okay. And then on the Engineering segment, you called out that the gross profit margin was lower and operating profit was lower this quarter because of the unfavorable mix, the legacy projects. Can you give an update on how those legacy projects are moving through? Are you almost done with that? I guess just sort of asking what should we expect gross profit margin for Engineering in the second quarter in the second half? When will it sort of bounce back to more historical levels in Engineering?
Franco Stevanato: I can start from a business point of view and the execution point of view. So today, the organization is fully focused to execute and deliver this complex program for our big customers that we are producing and delivery from the plants in Denmark. We are on track to complete within all the 2025, but the majority of this complex program, we are target to deliver in midyear. This is where the organization is working hard. In parallel, we are working on what we call this operational optimization plan where we want to balance the production in order to mitigate the risk between Denmark and Italy. We are adding more and more capacity for assembly, inspection machine from our plants in Italy in order really to make more center of excellence. Also this plan is on track. Today, the organization, like we shared last quarter is fully focused in order really to reinforce our leadership team, our project management and we have two big hub in Denmark, in Italy in order to be equivalent to serve this line.
Marco Dal Lago: Yes, about the sequential margin, well, first of all, the gross profit margin in Q1 was close to our expectations because we knew we had to dedicate a big effort and workload to accelerate the completion of the legacy projects in Denmark. And so basically worked on less profitable projects than the new ones. We expect this fact will be sequentially improved throughout the year. And as guidance, we expect sequential improvement quarter after quarter with the overall 2025 still better than 2024 with respect of gross profit margin.
Franco Stevanato: If also add another color from a customer point of view, if you look ahead, we see a strong demand today from our Engineering division because the pharmaceutical industry is heavily investing in new capacity for the bioproduct where this assembly technology in order to serve their growing demand for drug delivery system is exactly in the direction that we are going with our Engineering division. Once this line are installed to our customers, it really is going to make the customer happy in order to reiterate our order in the future.
Operator: Next question is from David Windley, Jefferies.
David Windley : Hopefully, I don't create an echo here if I dialed in wrong. I wanted to ask around the vial recovery, but kind of packaged within the HVS margin drivers. So certainly, you're highlighting HVS vials, EZ-fill vials improving. We were under the impression that maybe standard vials were going to come back first or bulk followed by EZ-fill. So am I hearing that EZ-fill is recovering earlier than your expectation? Part B of that would be, do you expect that to be sustainable over the balance of the year and beyond? So I'll stop there and then I'll follow up.
Marco Dal Lago: Well, I'll start with the numbers, David, Marco speaking. So first of all, we are happy in Q1. We got double-digit growth in order intake compared with the same period last year, both in bulk and sterile vials. In Q1, the revenue increase was modest. Nevertheless, we generated better profitability in Q1, mainly for two reasons. One is the good margin we generated in EZ-fill. And very important also, we are starting reactivating many lines around the world, and this is helping us with the coverage of fixed expenses also in bulk. So the combination of the two is making us more happy, obviously, than 1 year ago. But we don't see any change in the trajectory throughout the year is confirm what we said a couple of months ago.
Franco Stevanato: David, if you can also give us some angle from a customer point of view. Bulk vials is a market that has a size of many billions of containers per year with different therapeutic drugs, all the region and several hundred of customers. And when they're starting to recover is really -- is a big wave. For what is related to EZ-fill vial, we are more in the range of a few hundred million with small, medium-sized customers, in particular, customers that are launching new products on the market. So both are growing. We see positive signal, but there are two different type of leap.
David Windley : Okay. I can't remember if you've disclosed in the past or if you'd be willing to tell us about your GLP-1 specific exposure in the revenue base. I think for you, it would be almost exclusively BDS, but how much of your recovery here is driven by specifically GLP-1 demand?
Marco Dal Lago: So we disclosed biologics that is growing rapidly. I mean we reached 42% as a percentage of BDS revenue compared to 34% last year, and GLP-1 is part of our biologics disclosure. It's an important leg for us, GLP-1, but it's not the only driver of growth. But maybe Franco can give you more color about the market and...
Franco Stevanato: Correct. We already shared with you that we already signed multiyear contract with our historical insulin customer that we already have established a very good relationship since practically 20 years ago. And this customer have engaged us a few years ago through our tech center in order to start to validate our products in their molecule. Today, the contract and where we are building capacity through our plant in Europe, in United States are for bulk cartridges, Nexa syringes, Nexa syringe double bypass, also vial, also we have a program, a big program for cartridges ready to fill. On the top of this also, we signed a big program for device, and this the reason why that in Fishers, we are going also to add capacity for our drug delivery system, we'll be able to serve Nexa syringes and also these devices. From an Engineering point of view, our customers are engaging us on high-speed machine for assembly or inspection machine. So practically, all our product portfolio is involved in these new tailwinds.
Operator: Next question is from Doug Schenkel, Wolfe Research. We have lost the line. Next question is with Tejas Savant, Morgan Stanley.
Tejas Savant : Franco or perhaps Marco, just a point of clarification to an earlier question. To what extent are you baking in mitigation benefit in that EUR 4.5 million impact? It sounds like there's partial credit in there for surcharges, but you hope to do more on supply chain and procurement in the back half of the year. Is that the right interpretation that there is some mitigation benefit baked into the net impact of EUR 4.5 million?
Marco Dal Lago: Yes, it's a good interpretation. For example, we have a global footprint. We are producing finished products for many -- from many locations around the world. So we can have some also logistic optimization in order to minimize the tariff. But this is just an example. the task force is really active in detecting further initiative in order to minimize the impact of tariff. This is the key message behind our forecast.
Tejas Savant : Got it. That's helpful. And then my second follow-up, more of a longer-term question really. Look, I mean, acknowledging that pharma doesn't want to cut sort of cost as it relates to CDMO vendors, do you see an opportunity for sort of more vendor consolidation here as they try to protect their margin? And given your sort of complementary solutions, which you called out, is there an opportunity for Stevanato to gain wallet share, specifically because of what's going on with tariffs and the push for pharma for some of their U.S. reshoring efforts and so on?
Lisa Miles : I'm sorry, Tejas. Can you clarify the first portion of your question? I'm not sure we fully understood what you were getting at there.
Tejas Savant : Yes. So the question is basically around pharmaceutical companies generally don't view their CDMO vendors as a bucket where they want to squeeze out cost because they'd rather work with better vendors with a long track record of delivering on time and without any quality issues, right? So my question is, just given the moving parts here with customers trying to preserve their margins as well, I mean, is there a possibility here for you to opportunistically gain share from some of the smaller vendors that perhaps your pharma customers are working with today because of the noise around tariffs and U.S. reshoring?
Franco Stevanato: Practically, Lisa, I fully understand your question. Today, tariff is going to give to Stevanato a small pain in 2025 that we already captured this EUR 4.5 million that Marco shared. But it's also true that the fact that we have already proactively decided to invest in 2021 with this big campus in United States that will be able to serve the U.S. market for syringes, for Nexa syringes for Alba for bypass via [indiscernible]. Today also with a big program on device is have further rise interest for our American customer that Stevanato is the right global partner, in particular, because of this U.S. plant. But the scope of this U.S. plant is in order to serve the full U.S. biotech market, all the international customers. So at the end of the day, short pain and the long term, we see much more benefit.
Operator: Next question is from Mac Etoch, Stephens Inc.
Steven McLaurin Etoch : Maybe just to quickly touch on the performance within the BDS segment. During the quarter, did you see any shift in customer ordering patterns or timing there or behavior within the companies as they prepare for the impact of tariffs?
Franco Stevanato: Franco speaking, the way that our customers are passing the forecast to Stevanato Group is in line with the past. Usually, our customer, okay, we have the long-term contract, then they move with a 12-month forecast and then have the 1 or 2 quarter confirm order usually depending if it's bulk product or EZ-fill product, where with EZ-fill, the order intake is a little bit with the longer. So we don't see any difference from the way that they're placing order. For what we see on vials, we -- like I mentioned, we already started to see in Q3, Q4 last year, an increase in their forecast and their increasing the order intake, but this is only due to the destocking effect in the past, but they are in line with the past.
Steven McLaurin Etoch : And can you break out just about how much of an improvement you saw from each of the respective buckets for margin impact that you saw for EZ-fill and also the ramp of the new facilities as in what percentage of the year-over-year improvement relates to the improvements in the vial stocking?
Marco Dal Lago: So I can tell you that the #1 improvement is related to Latina and Fishers. We mentioned many times last year that obviously, with the ramp-up, we generated more cost than revenue due to validations, training and all the ramp-up activities. We are very happy about the progress in Latina and also Fish is starting generating better results than last year, generating more revenues and gross margin. The margin is still dilutive compared to the overall segment, but we expect a sequential improvement, as we mentioned last March. Yes. And then obviously, the # 2 factor as underlined in the remark is the fact that with 43% high-value solution on total revenue, obviously, the mix is favorable and better than last year.
Operator: Next question is from Patrick Donnelly, Citi.
Patrick Donnelly : Marco, maybe one for you. I know you talked about the second half being stronger than the first half. Can you just help us think about just the progression throughout the year, particularly 2Q? Just a little context around both res and then margins, how we would think about 2Q and then flowing into the second half would be helpful.
Marco Dal Lago: Yes. We still expect like 2 months ago, sequential growth throughout the year. We expect overall 44% of revenues generated in first half of the year and the remaining 56% in the second half with sequential improvement throughout the year. As last time, we mentioned, we also expect margin improvement throughout the year with Latin and Fishers ramping up. with engineering improving in the second half of the year. And also on vials destocking, we expect sequential improvement quarter after quarter. So our assumption has not changed. We have some confirmation, as mentioned for vials and the ramp-up that is -- the second one is under our control. A matter of fact, we are reiterating our guidance beside, obviously, the impact of tariffs. That is a net impact.
Patrick Donnelly : Okay. That's helpful. And then Franco, maybe one for you. Just in terms of the facilities, on the China piece, has the current situation, whether it's tariffs, the overall tensions, has that changed the way you're thinking about expanding into China? I know you guys pushed the facility out a bit, but we're still committed. How are you thinking about your presence in China as we move forward here?
Franco Stevanato: Today, we serve this market from the existing plant that we have in Shanghai and also for what is related to EZ-fill product we produce in Europe and we ship it to China. Today, it's also true that in 2025, also in 2026, our big focus is in ramping up Latina even more fishers because if you remember, Originally, in 2021, there was also the program to build production for EZ-fill product of high-value product also in China. But then some of our big customers have decided to put in standby and they ask us to Stevanato to increase their capacity from Europe and the United States to serve from these two locations. So in order to summarize, Asia will remain strategic for Stevanato because also there is a big growth on biosimilars. But today, the big focus to execute these two huge greenfield plants in order to execute all the contract that we have with our customers. One example is the big program from cart to. This is a huge program. We need to be laser focused to execute with big success because there is a big contract behind.
Operator: Next question is from Doug Schenkel, Wolfe Research.
Doug Schenkel : Sorry for the technical challenges before. So two topics. First, on guidance. It seems like your updated full year guidance reflects first quarter upside, both at the revenue line and the margin line, but you're not really changing the outlook for the balance of the year beyond that other than to reflect the tariff impact that you've discussed. Do I have that right? And if so, keeping in mind that orders remain strong, you don't feel like there was any pull forward of revenue or abnormal behavior in the midst of the current policy uncertainty. And again, margins are ahead of plan. Is this just prudent conservatism as a philosophy given the current environment?
Marco Dal Lago: Marco speaking. First of all, we are reiterating our revenue guidance. We see there two opposite effects. On one side, we see some headwinds related to the exchange rate. Euro went stronger compared to a couple of months ago, and this is a headwind. On the other side, one of the mitigation effect tool we have for tariff is increasing price or transfer some extra cost to our customer. And this is basically offsetting the currency headwinds in the top line. The guidance, obviously, we are providing is obviously the best estimation we have today, and this is reflecting the trajectory we designed 2 months ago.
Franco Stevanato: And from a market point of view, the demand from our customers is robust, well spread practically in all the products. So to be considered that we are in the middle of the construction ramping up this huge greenfield plants where the demand is driven by the capacity that we are put in place. So there are some technical timing that we are going to install this high-speed line. We are doing the validation. We have the green light from the customer, and then we're going to deliver it. So it's difficult to further accelerate this ramp-up because the quality is the priority #1 for these international customers.
Doug Schenkel: Okay. Understood. And then for my second question, just high level on free cash flow. This was a really strong quarter. I presume some of that is timing of projects, but also the benefit of mix. Could you just comment on that a little bit more? And maybe more importantly, how should we think about durability from here in terms of free cash flow improvement over the coming quarters?
Marco Dal Lago: Sure. So first of all, we still expect EUR 40 million to EUR 60 million negative free cash flow for the year. We are happy about the performance in Q1, driven by strong collection from customers after the revenues we generated in Q4 last year. Nevertheless, it's -- we will see some fluctuation quarter after quarter depending on CapEx. but also the fact that we are, for example, paying taxes in the second half of the year. So we are very focused on keeping under control the free cash flow, but we are reiterating our guidance of EUR 40 million to EUR 60 million negative free cash flow in the year.
Operator: [Operator Instructions] Ms. Miles, gentlemen, there are no more questions registered at this time.
Franco Stevanato: Maybe if I can just summarize the sentiment that we have in Stevanato Group. We have a solid start in 2025. We have a robust demand for all the 2025, practically in all our product category. We see a strong momentum in the BDS segment, and we have -- we see a high interest on our high-value product because the biologic demand of this product from our customer is very strong. With our greenfield plants, we are on track, both with installation of line and validation with our customers. We see visible improvement from an engineering point of view. And also, we are happy that finally, on vial, we see a recovery. So we are fully committed to deliver the results and also even more, we are confident in our long-term trajectory of double-digit growth target of 30% of EBITDA to move to 40% to 45% of high-value products in our products. So thank you very much.
Lisa Miles: Thank you, everyone, for joining us today, and we look forward to speaking with you in the future.